Operator: Greetings, and welcome to the SeaChange Corporation Fourth Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mary Conway, Investor Relations. Thank you. You may begin.
Mary Conway: Thank you, Matt. Good afternoon, everyone and thank you for joining us today. SeaChange released final results for the fourth quarter and full year fiscal 2019 ended January 31, 2019 today after the market closed. If you would like a copy of the press release, you can access it on the IR Section of our website at investors.seachange.com. With me on today's call are Mark Bonney, Executive Chair; Peter Faubert, Chief Financial Officer; Marek Kielczewski, Chief Technical Officer; and Yossi Aloni, Chief Commercial Officer. This call is being webcast and will be archived on the Investor Relations section of our website. Before Mark begins, I'd like to remind you that the information we're about to discuss today may include forward-looking statements, which are based on current expectations that are subject to a number of risks and uncertainties that may cause actual results to differ materially from expectations. These risks are outlined in our SEC filings, including our final report on Form 10-K which was filed on April 16, 2018 and our most recent Form 10-Q, which was filed on December 17, 2018. Any forward-looking statement should be considered in light of these factors. Additionally, this presentation contains certain non-GAAP or adjusted financial measures as defined by the SEC. We have provided a reconciliation of these measures to the most directly comparable GAAP measures in the tables attached to the press release. And with that I'd like to turn the call over to Mark who'll provide opening remarks and introduce the rest of the team. Mark?
Mark Bonney: Thank you, Mary, and good afternoon everyone. Thank you, Mary, and good afternoon everyone. I'm pleased to join the SeaChange management team today and share some insights about the Company's direction and objectives for fiscal 2020. I would like to start by explaining the recent Board and management changes, including our recent agreement with our largest shareholder, TAR Holdings. I'll also discuss our announcement last Friday and specifically my plans to enhance SeaChange's leadership and indeed instill greater confidence and excitement in our ability to execute and grow the Company. As you are aware, we entered into a cooperation agreement with TAR Holdings, the holder of approximately 20% of our stock in early March. Through the interaction with TAR, we welcome two highly professional individuals to our Board, Robert Pons and Jeffrey Tuder. Both Bob and Jeff bring significant experience with technology companies of similar size and scale as SeaChange. Both are experienced independent directors of public companies and we welcome them. You are also aware that our former CEO Ed Terino resigned without warning in late February. The Board was clearly surprised by this, but responded immediately by creating an interim solution, an office of the CEO comprised of the four top leaders in the Company. Frankly, that has been working well. But we all know it's difficult to run a company, especially one with a lot of challenges, when no one person is responsible for the entire operation. While this was happening, the merger of RhythmOne where I was CEO with Taptica became effective and, as planned, I completed my service with RhythmOne on April 1st. Knowing that the team at SeaChange could benefit by my experience in similar situations, the Board asked me to become Executive Chair and I agreed to join the leadership team in that role and as the Principal Executive Officer. I have a great deal of experience in managing companies in similarly challenging situations, with a good track record of successful outcomes. Thus, it's an ideal solution for me to mentor the team and enable each member to focus on their area of responsibility while building confidence in each other with the objective of driving the Company forward. This collaboration is important because one of our goals is to better engage our entire employee base in achieving all of our objectives. In order to provide a view as to where the Company is today and what we see as opportunities, I have asked Marek Kielczewski and Yossi Aloni to be part of this call, to articulate to investors what the Company has done and is doing to turn SeaChange around and generate results that we believe can be produced and which we will be proud of. Peter Faubert our CFO, Marek, Yossi and our General Counsel, Dave McEvoy, bring substantial experience in the markets in which SeaChange competes and they recognize the work needed to evolve the Company's model into one that can be successful in today's competitive environment. While none of us expect this effort to be easy, we are committed to implementing a solid and thoughtful plan. We believe we have the right ingredients between our technology, a more focused and professional sales and marketing approach, right-sized underlying cost structure and the right people, especially on the go-to-market side, as Yossi will describe. As Peter will detail momentarily, SeaChange faced several challenges in fiscal 2019, including declining revenues and customer delays. While our revenue shortfall was quite painful, the Company did respond and implement additional restructuring initiatives to reduce operating expense levels. After Peter reviews the financials, Marek will discuss SeaChange's technology position, including the benefits of the Xstream acquisition announced in early February. We are very excited about the technology and market positioning gained through this acquisition. Marek will also share more details about our recent technical progress, our overall technology roadmap, our R&D organization and planned enhancements to SeaChange's core technology over the coming year. Yossi, who joined SeaChange in early January in the critical role as Chief Commercial Officer, will then share his perspectives on SeaChange's competitive position and his focus for sales and marketing this fiscal year. Yossi brings substantial experience in the video technology market, having most recently served as the Chief Corporate Operations at ATEME where he and his team were quite effective in expanding the company's customer base and significantly growing revenue. He has already made significant changes to the sales and marketing team, adding experienced talent and developing a well crafted approach to the market. Following Yossi's comments, I will be back on to discuss fiscal 2020 guidance, our approach and the objectives that we believe can be attained and then we will open the call to questions. While this is a slightly longer format than we have previously used, we hope that given the recent changes at the Company you will appreciate our efforts to be transparent and thorough about our plans to restore SeaChange to revenue growth, profitability and positive cash generation this year. With that, let me turn the call over to Peter. Peter?
Peter Faubert: Thank you, Mark. Good afternoon everyone. I'll start by reviewing our fourth quarter results. We entered the fourth quarter of fiscal 2019 with $6.5 million in total backlog excluding maintenance and support. We booked new business of $13.9 million during the fourth quarter and ended the quarter with backlog of $9.7 million. Total revenue in the fourth quarter was $17 million, which was at the lower end of the range of our revenue guidance compared to $22.9 million in the fourth quarter of the prior fiscal year. Both products and services revenues were lower compared to last year primarily as a result of lower sales to our largest customer. Total product revenue was $7.8 million in the fourth quarter or 46% of total revenue compared to $9.9 million in the year-ago quarter or 43% of total revenue. Product revenue this quarter primarily consisted of video platform revenue of $6.7 million. Total services revenue in the fourth quarter was $9.1 million or 54% of total revenue compared to $13.1 million or 57% of total revenue in the fourth quarter of last fiscal year. As expected, we continue to see deterioration of maintenance and support revenue for our legacy products. In addition, as we migrate to multi-year arrangements with customers we have finished many professional service projects and will consolidate the professional service activities going forward into support services, including outbound engineering under those arrangements. Of the total services revenue in the quarter, maintenance and support was $6.3 million and professional services was $2.7 million compared to $8.1 million and $4.5 million in the prior year quarter, respectively. Revenue from international customers of $12.4 million in the fourth quarter this year represented 73% of total revenue compared to $15.2 million or 66% of total revenue in the prior year quarter. Two customers each comprised of more than 10% of our total revenue in the fourth quarter of this fiscal year whereas in the same quarter of last year four customers each comprised of more than 10%. Fourth quarter fiscal 2019 non-GAAP gross profit margin was 65% compared to 62% in the prior year quarter. Of this, product margin was 95% compared to 90% in the prior year quarter primarily driven by product mix. Non-GAAP service gross margin in the fourth quarter was 39% compared to 58% in the prior year quarter, primarily as a result of maintenance and professional service revenue declining faster than fixed costs compared to the prior year's quarter. Non-GAAP operating expenses in the fourth quarter of fiscal 2019 were $12.3 million, which includes $1.8 million of bad debt reserve compared to $13.1 million in the same quarter of the prior year, slightly higher than the targeted $12 million to which we have been managing. The cost reduction initiatives that we announced in September, including the reduction of headcount across all functions worldwide and other expense savings related to decommissioning of certain internal software tools helped to reduce the total compared to the prior year quarter. For the quarter, our non-GAAP operating loss of $0.03 per fully diluted share was in the middle of our EPS guidance compares to a non-GAAP operating income of $0.10 per fully diluted share in the fourth quarter of last fiscal year. Turning to our balance sheet, we ended the fiscal year with cash and cash equivalents of approximately $30.7 million and no debt compared to approximately $32.4 million at the end of the third quarter of the fiscal year. The cash decrease in the fourth quarter was driven by funds used for operations during the quarter and cash payments related to our cost savings initiatives, as well as working capital fluctuations during the quarter. Deferred revenue of $10.8 million increased from $7.1 million as of October 31, 2018 but declined from $14.4 million in last year's fourth quarter, driven primarily by the timing of revenues recognized and renewal of post-warranty maintenance and support agreements during the quarter. Day sales outstanding, excluding unbilled receivables, was 90 days at the end of the fourth quarter of this fiscal year compared to 89 days in the fourth quarter of last fiscal year. Including unbilled receivables, day sales outstanding totaled 133 days in the fourth quarter of this year compared to 101 days in the fourth quarter of last fiscal year. Our unbilled receivables were $5.4 million in the fourth quarter of this fiscal year compared to $3.1 million in the fourth quarter of last fiscal year. The increase is a result of timing of invoicing on two ongoing projects in North America and one ongoing project in Central America. In the fourth quarter of fiscal 2019, we determined that there was a triggering event that prompted us to test our goodwill for impairment. We've determined that as of Q4 fiscal 2019 the carrying value of our single reporting unit exceeded its fair value. As a result, we have recorded an impairment charge against our goodwill balance of $15.6 million. In addition, we conducted an analysis of impairment of certain long lived assets mainly consisting of our corporate headquarters building. We compared it to some of the undiscounted cash flows from the asset group to its carrying value and concluded that the carrying value exceeds the fair value. As such we recorded an impairment charge of $1.2 million against the carrying value of the asset group. As Yossi will discuss further, we are focused on opportunities to sell multiple products and support services under multi-year arrangements with both existing and Greenfield customers this fiscal year. These arrangements demonstrate the commitment and reputation of SeaChange has, delivering best-of-breed products. The initial response from customers has been positive, giving us confidence that we will return to revenue growth in fiscal 2020. More importantly, the multi-year element of these transactions will allow us to grow our backlog and increase our recurring revenues going forward. While we have previously estimated that operating profitability and positive cash flow would occur in Q1 of fiscal 2020, we now believe that based upon lower revenue expectations in the first part of fiscal 2020 related to our transition to multi-year revenue arrangements with customers, we now expect to reach operating profitability and positive cash flow in the second half of this fiscal year. With that, I'll hand the call to Marek, to discuss our approach to driving product innovation. Thank you very much. Marek?
Marek Kielczewski: Thanks, Peter. I'm very pleased to speak with you today about SeaChange's research and development focus, especially now that I'm based in our Acton headquarters. I'll also discuss our acquisition of Xstream in early February this year and how it affords us an immediate opportunity to capture significant customers with market-leading technology and proven scalability. I'll start by sharing some exciting recent developments in our technology portfolio. We have adopted dot NET Core 3 for our cloud back office products and have moved to containerized deployment using Docker with elastic scaling of publishing notes. These enhance our capability to rapidly deploy and scale as our customer subscriber base grows. Also, we have automated the deployment process using tools such as Ansible, which dramatically reduce the time to deploy a new instance either on prem or in the cloud. The client apps have seen the introduction of an NXPP, which provides commoditized OS independent functionality across all platforms, in MediaMaker which we acquired by Xstream, we added individual profile based recommendations by leveraging machine learning provided by Amazon Web Services. All of these technology developments are supported by advances in automated quality assurance with a common technology stack for the entire product portfolio and automated CI/CD or continuous delivery which is now done directly to a cloud based container registry where they are picked up by our DevOps engineers. I'll now move to SeaChange's overall product roadmap, how we are organized and where we are focusing our efforts in fiscal 2020. This focus is informed by both the changes in the marketplace as well as the new opportunities we see to deploy our industry leading technology with both existing and new customer segments. Our overall goal is to move most of our products and solutions to the cloud while leveraging hybrid cloud deployment where applicable. This evolution will accelerate deployment times, reduce operating costs and allow for faster delivery of new feature enhancements. To that end, we have already completed the cloud transition for the Adrenalin back office suite which has enabled our customers to take advantage of better scaling and more deployment flexibility. As I mentioned in the beginning, we're very pleased with the acquisition of Xstream. Already we have integrated its core technology MediaMaker into our product portfolio and we have completed the transition to the latest version, MediaMaker 9, across the customer base. The Xstream R&D organization has been fully integrated with our Poland based R&D center. As a result of this transition, we are now able to provide live microservice updates to all customers through Amazon Web Services supported by a dedicated cloud managed services team. In addition, we have fully automated the managed services rollout. We are now prepared to bring the latest version of MediaMaker to a wider range of customers around the world as it provides distinctive competitive advantages such as unparalleled time to market and operational efficiencies in app content management. In addition, we have extended the client app ecosystem with support from more platforms including the latest version of Android TV for operators, an important ease-of-use functionality to more deployments. We have also added support for new platforms through our app ecosystem and this will be a continuing focus for our R&D team over the course of the year. Overall, it's our goal to pivot our engineering efforts in terms of our organization to a greater emphasis on innovation and lessen the amount of time dedicated to sustaining efforts as we continue to drive technological leadership in video platform solutions. Earlier this year, we restructured our R&D teams to become more product-focused and align with our go-to-market activities with dedicated teams for individual roadmap deliveries and separate resources focused on sustaining engineering. For cloud based solutions, it's our intent to develop a steady and reliable cadence for agile releases across all products. What does this mean for SeaChange? This year we'll be incorporating into our full product portfolio key features and functionality that provide a better user experience, easier cloud-based implementation and seamless updating capabilities. We'll be focused on adding analytics capabilities across the entire product portfolio, especially those leveraging machine learning to power predictive insights. Personalization will also be a key theme across our video platform products. This also includes framework orchestration as well as providing a client app content management system which is made possible by our MediaMaker technology suite in the advertising segment, where our business has grown nicely this past year, we are expanding our advertising delivery to cloud based OTT providers and adding more powerful analytics. We are also upgrading our core Adrenalin platform to build in more live updates as well as take advantage of cloud-based optionality. In closing, let me repeat how excited I am about the opportunities I see ahead for SeaChange, especially with the integration of Xstream and the addition of a market-leading scalable technology that can be appealing to a broader range of customers. With that, let me hand the call over to Yossi Aloni. Yossi?
Yossi Aloni: Thanks, Marek, and hello everyone. Let me start by sharing why I joined SeaChange in January. First, SeaChange has a great engineering team, with proven ability to deliver. Second, SeaChange has the solid install base, servicing millions of subscribers on a daily basis, meaning we have a proven solution with access to a loyal installed base which is open to utilize the rest of our product portfolio. In addition, we are facing a simplified competitive landscape and favorable market trends, driving demand for video delivery solutions. We recently launched a SeaChange framework solution, which encompass all our standalone products, to enable us to provide the unique end-to-end solution from back office and media asset management to personalize trading session and client applications, set-top boxes and mobile devices. This solution is available as an online solution, a cloud or a lively product. Over the last two weeks, we have also revamped our sales product and marketing teams, with experience and proven talent. The new structure improve our access to market and increase the opportunity for a more meaningful interaction. We have a larger team, based next to customers, all while keeping our OpEx in check. The team is overseen by regional leaders with proven track record of delivering goods. Our account managers, sales industry and engineering background, they all are well connected, which is beginning to enable us to win the confidence of customers engineering and see level teams. Already our product team is starting to deliver innovation, from the framework packaging to new disruptive solutions. In addition, our product team is initiating partnerships with technology vendors to support our innovation. Our new marketing team is supporting our simplified and focused approach. Essentially, all our sales, product and marketing resources are focused on driving our new go-to-market strategy utilizing our unique product offering with a value based engagement. Initial indications from current and new customers are very promising. Also, we recognize that we must restore confidence in SeaChange with our employees, customers and the investment community by demonstrating our ability to meet our targets. To that end, we are focusing on driving growth and delivering results. I look forward to sharing more information about our progress throughout the coming year. And with that, let me turn the call back to Mark.
Mark Bonney: Thank you, Yossi. As you read in our press release, we believe that providing quarterly guidance does not serve our shareholders well. The high level of fluctuation and unpredictability in our quarterly numbers is a function of the size of the Company and the business we are in. For these reasons going forward we will provide full year guidance and the key measures to which we are holding ourselves accountable. For fiscal 2020, they are, first, to close 20 to 25 significant deals from multiple product and service offerings on an annual basis. Second, to increase total annual revenue in the low to mid double-digits to $70 to $80 million, despite lower year-over-year service revenues with, as Peter mentioned, the second half of the year being significantly stronger than the first half. Third, to maintain GAAP gross margins in the low 60% range. Fourth, to complete the development of three significant new product offerings. Fifth, to continue to reduce costs by focusing on reducing essential third-party costs and eliminating non-essential costs. Sixth, to deliver GAAP operating results between a loss of $0.09 per basic share to income of $0.07 per fully diluted share and non-GAAP operating income between $0.03 and $0.19 per fully diluted share. And finally, to increase cash by $3 million to $6 million during the year from approximately our $30 million at the end of the past fiscal year. We believe that achieving these goals will establish the foundation for a business model that could result in sustainable double-digit revenue growth and non-GAAP operating income as a percent of revenue between 12% and 15% in two to three years. Next quarter we will speak to our progress on these objectives and provide more detail on our three-year model. Thank you. And with that, Matt, we are ready for questions.
Operator: Great, thank you. At this time we will be conducting a question-and-answer session. [Operator Instructions] Our first question is from Steven Frankel from Dougherty & Company. Please go ahead.
Steven Frankel: Good afternoon, Mark, maybe I want to start with some perspectives on this guidance. So you talk about scoring 20 to 25 significant deals. How many significant deals did you -- the Company win in fiscal '18 and fiscal '17 each, give us an idea of scale.
Mark Bonney: Sure. So, first, thanks Steve. I appreciate the question. But first we have to think in terms of this being a new go-to-market strategy. So when we think about the 20 to 25 deals, it's within the framework structure. We haven't had the framework structure before and maybe last year when you think about size and scale of the deals we did, there were what, two or three that might fall into that category of significant deals in terms of the framework. Yossi, anything you want to add to on that?
Yossi Aloni: Thanks, Mark. I think the key point here is that last year we were trying to sell standalone product in each and every opportunity which is a bit more challenging in terms of winning strategy and also in terms of delivery. Selling an interim solution under the framework umbrella is probably easier, both in terms of defining and executing on winning strategy, and also in terms of delivering.
Peter Faubert: Yes, and this is Peter. I'll just add to that. In fiscal '17, by far our most significant deal was LG's one back office licenses for $13 million. In fiscal '18, we did sell a few Adrenalin upgrades and some advertising upgrades, the largest being with Rogers and with Alteez. Rogers was an Adrenalin upgrade and Alteez was an advertising upgrade and we also sold a new deal to a team with Tech-Savvy and partner and both of those were pretty significant deals for us [indiscernible] deals.
Steven Frankel: Okay. And while we're still on the subject of guidance, translate the gross margin for me into its non-GAAP equivalent and what assumption are you making in the growth or shrinkage of OpEx in fiscal '19?
Peter Faubert: So, this is Peter. In terms of GAAP.
Steven Frankel: Fiscal '20, sorry. 
Peter Faubert: Yes. In terms of GAAP versus non-GAAP gross profit, there isn't really a lot of non-GAAP or GAAP charges that we would reverse out of gross margin at this point. The most significant GAAP charge that was reversed out historically was a loss on contract amortization charge. So those are fairly consistent between GAAP and non-GAAP going forward. In terms of OpEx, as Mark said in his statements, we are looking to continue to streamline the organization and eliminate any unnecessary costs in the organization. We've talked on previous calls about operating somewhat inefficiently in terms of having disparate systems in place which may create some inefficiencies in how we process things and we continue to try to consolidate those tools and streamline those processes to be able to do more with less, so to speak. So we'll continue to do that. In addition, I think as we make the transition to more of a multi-year customer-facing organization, there could be some resources that we're currently utilizing to maintain legacy products and services that won't be needed going forward and we'll look to identify those resources and potentially have some cost savings there as well.
Steven Frankel: And overall OpEx in fiscal '20 should be, what, around $11 million, $12 million a quarter, what's the quarterly cadence built into your guidance?
Peter Faubert: Looking to the guidance right now, we are at between $11 million and $11.5 million a quarter on a normal run rate basis. Obviously we had some charges this quarter that pushed us above that, but I'd say between $11 million and $11.5 million a quarter.
Steven Frankel: Okay. And what was the LGI as a percentage of revenue in Q4 and there had been this notion that they were going to come back for more licenses because they probably were well beyond the license count they had paid for. Maybe give us an update on where you are with that.
Peter Faubert: Yes, I mean as we've said they're above 10%. That's usually what we disclose. And you know I'll let Yossi speak to the operative -- we are no longer really chasing overconsumption of licenses with LG, but I'll let Yossi speak to how we're working with them in terms of future business.
Yossi Aloni: Thanks, Peter, this is Yossi. So, the efforts we are taking with LG these days is to work more with partners and to see where we can support them better and increase their efficiency by both reducing cost and providing them more. And probably this will translate into more product revenues, rather than license revenue if and when.
Steven Frankel: Okay. And Peter, you talked about a decline in service revenue in fiscal '20. So what's your assumption for the split between product and service in fiscal '20?
Peter Faubert: In fiscal '20, under the framework deals, we haven't finalized revenue recognition yet on those deals. But the assumption is that it's going to be between 70% and 80% product, in instances where the customer takes ownership of the software licenses and as a result it'll be 20% to 30% services which will all be included in maintenance and support agreements.
Steven Frankel: Right. But -- obviously you have a lot of maintenance that gets rolled forward. So on a consolidated basis, just roughly what do you think product will be 40% of revenue?
Peter Faubert: No, I would say they are probably 60% revenue, 40% services, going forward, with the legacy included.
Steven Frankel: And then, with SeaChange kind of losing the last two years, slipping backward, where do you think you are competitively now and who are you competing against with these framework deals?
Mark Bonney: So, let me take the beginning of that and then Yossi, you can add some color. I think one of the reasons why Marek was on call with us today was to kind of give you a perspective of where we stand technologically as a competitor in the marketplace. And I would say, you know, based on my knowledge of the Company over the past few years, but more getting into it recently as a result of the organization change that from a technological perspective, we have a very good position and the ability to compete very well, which also positions the framework as the right go-to-market strategy. Yossi, why don't you add your thoughts.
Yossi Aloni: Sure. Thanks, Mark. This is Yossi. So if you are looking at the framework approach where we provide an end-to-end solution and this can be ideal on premises or a cloud solution. But also this can be an ideal solution which can scale up as needed or scaled down based on demand and processing in the service provider's immediate needs. In this sense, this is at this stage a unique solution. So probably whether you're looking at the changing operation structure of the current service providers and some new service providers or virtual service providers, content providers, we direct to consumer service, this is probably a solution which is somewhat unique and there's less competition in that segment.
Steven Frankel: Okay. And then last question, the Company spent the last two years talking about a transition to SaaS. Do you still see SaaS is something that customers will adopt as part of this solution or are these going to end up being perpetual software type deals?
Peter Faubert: So what we are -- this is Peter, so what we're seeing so far is a lot of the customers who are looking at these engagements are looking to own the software licenses. So it puts us back into more of a traditional products and service sale where customer takes ownership and we recognize revenue on product shipment for the products that are purchased by the customer. And this now includes all of the products in our portfolio. That being said, we also acquired a managed service capability with Xstream and to the extent that some of our customers want to have a hands off approach and have us manage the entire service in a managed service capacity, that would obviously be subscription. But so far we've seen less of a transition to more of the subscription-based managed service and we've seen customers looking to elect more of that CapEx type of purchase under the multi-year arrangements.
Steven Frankel: Okay, thank you so much. I'll pass the baton to somebody else.
Operator: Our next question is from Jaeson Schmidt from Lake Street Capital Markets. Please go ahead.
Jaeson Schmidt: Hi guys, thanks for taking my questions. Just want to -- on the Xstream business, I think in the press release you said it was doing about $6 million in revenue. How big of a contribution will it be to your annual guidance in fiscal '20?
Peter Faubert: So this is Peter, it's obviously incorporated into the guidance. Their historical revenue run rate was $6 million. We are working to integrate their legacy revenue stream into obviously our business. So it's contributing anywhere between $1 million and $1.5 million depending on the quarter this year and timing of subscribers and renewals of some certain contracts. That being said, we've also seen opportunities to sell the Xstream service as part of the framework and it has been very appealing to some of the customers who have been looking at the overall solution, specifically enabling them to penetrate more rural areas in some cases. So the benefit on the revenue opportunity for the year is certainly there, may not necessarily be a standalone Xstream product sales, but certainly as a component of the framework and obviously growing the subscriber based for their legacy business and their existing business.
Jaeson Schmidt: Okay. That's helpful. And then following up on one of Steve's earlier questions, the target of 20 to 25 significant deals this year, that's obviously up significantly from the two to three you mentioned in fiscal '18, even recognizing some of the market delays and whatnot impact you've had. Can you just give us a sense on why you're so confident you're going to see such a big uptick this year in significant deals?
Mark Bonney: Sure. Yossi, why don’t you take that?
Yossi Aloni: Sure. So, first of all, we see this opportunity and this is a very doable number because of the following reasons. A: if you look at the number of opportunities in the market these days, due to the market trends, it's something that we have not seen in many, many years. There are the traditional operators, some of them are changing their workflow, some of them are looking to improve their workflow. So that's the first opportunity. Next, you have new service providers, the DTC, the direct-to-consumer and there are many of these not only North America. This is true also for Europe and Latin America and the numbers over there and the number of opportunities over there, it's something that we have not seen in our domain probably ever since the launch of cable TV in America. It's unbelievable, so that's the second opportunity. The third reason that we believe that we are going to meet this target is our offering. If you think about [indiscernible] framework offering, so you as a DTC or direct-to-consumer or service provider looking for a solution, you have now an integrated solution from the subscriber management in the back office including all the components, all the way to the client and this is a set-top box client, this is a mobile client. It's already in production. And this client has some unique features. Now taking this solution as an end-to-end solution will enable you to get to market immediately within weeks. It will enable you to generate more revenues using our unique Ad Insertion and ad processing technology, utilizing all the analytics that we have from the back office, the media asset management, for the title and obviously the client. So for all these reasons, we believe that the target we are taking upon ourself is an achievable target.
Jaeson Schmidt: Okay. That's helpful. And the last one from and I'll pass the line. These new product offerings that you plan to complete this year, are those for new and adjacent markets or would these be addressing the markets you currently have?
Mark Bonney: This was Mark, both. So on the one hand we are working on a new product offerings for adjacencies that are addressing some of the trends in the market that we see and have been conscious of for a while that we've worked on in terms of design for quite some time now, that we will be productizing later on this year. On the other hand we are also productizing functionalities that are enhancements of existing products, and I've mentioned a few of these earlier on in the call, such as a tighter integration with some of the AWS services especially around machine learning as well as more analytics capabilities that will enable us to better address customer insights and automated segmentation of the subscriber base for our customers. I don't know, Yossi maybe you want to expand on that, but those are the two areas where we see a significant amount of investments. Anything, Yossi?
Yossi Aloni: No. I think we're good.
Jaeson Schmidt: All right. Thanks a lot guys.
Operator: This concludes the question-and-answer session. I'd like to set the floor back to Mr. Bonney for any closing comments.
Mark Bonney: Thank you, Matt. Appreciate that. I appreciate everybody's attendance today. We look forward to updating you on our progress against our goals that we've laid out for you on future calls. Thank you very much.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you again for your participation.